Duncan Bates: Good morning. This is Duncan Bates.
Operator: Yes. You go ahead, sir.
Duncan Bates: We're get to go.
Operator: Yes. We're get to go.
Duncan Bates: All right. Good morning. This is Duncan Bates, Legacy's President and CEO. Thanks for joining our First Quarter 2023 Conference Call. Max Africk, Legacy's General Counsel will read the Safe Harbor disclosure before getting started.
Max Africk: Thanks, Duncan. Before we begin, may I remind our listeners that management's prepared remarks today will contain forward-looking statements, which are subject to risks and uncertainties, and management may make additional forward-looking statements in response to your questions. Therefore, the company claims the protection of the Safe Harbor for forward-looking statements that is contained in the Private Securities Litigation Reform Act of 1995. Actual results may vary or differ from management's current expectations, and therefore, we refer you to a more detailed discussion of the risks and uncertainties in the company's Annual Report filed with the Securities and Exchange Commission. In addition, any projections as to the company's future performance represent management's estimates as of today's call. Legacy Housing assumes no obligation to update these projections in the future, unless otherwise required by applicable law.
Duncan Bates: Thanks, Max. I'll run through our prepared remarks then we'll open the call for Q&A. Product revenue decreased to $43.3 million or 16.4% in the first quarter of 2023 compared to the first quarter of 2022. The decrease primarily resulted from a reduction in shipments across all three plants. Also, we did not convert any independent dealer consignment agreements to floor plan financing agreements during this quarter, as we did most quarters last year. The manufactured housing industry has slowed. According to MHI's March 2023 data March shipments were up over February, but still well below 2022 numbers. We believe that our business has fared better than most. We made a big push on sales this year and have a nice backlog at all plants. Several longtime customers have stepped up with large orders. We have a small manufacturing footprint and continue to run near capacity. We anticipate having orders to feed all three plants. We also believe that there are several major tailwinds for our industry as housing affordability nears record lows. As we discussed on the prior call, we have been working hard on improvements at our Eatonton, Georgia manufacturing plant. We right-sized the workforce, brought in a third-party to retrain and monitor the team and have significantly improved our product quality. Production during the first quarter of 2023 was still below historical levels in Georgia. However, we recently gained momentum on the manufacturing side and have secured several large orders for the plant. Our team continues to push production volume without sacrificing quality. Consumer and MHP loan interest income increased to $7.7 million or 13.9% during the three months ended March 31, 2023, as compared to the same period in 2022. This increase was driven by increased balances in the MHP and consumer loan portfolios. Other revenue primarily consists of dealer financed fees and commercial lease rents, which increased to $1.8 million or 33.3% during the three months, ended March 31, 2023, as compared to the same period in 2022. Our financing business generates predictable recurring revenue. We now have over $350 million in principal outstanding across our loan portfolios. The portfolios are performing well and defaults remain near record lows. Selling, general, and administrative expenses decreased $2.3 million or 29.3% during the three months ended March 31, 2023, as compared to the same period in 2022. This decrease was primarily due to a decrease in salaries and incentive costs and a decrease in legal expense partially offset by an increase in warranty cost. Net income increased 1.1% to $16.3 million in the first quarter of 2023 compared to the first quarter of 2022. Basic earnings per share grew $0.01 per share in the first quarter of 2023, an increase of 1% from the same period in 2022. Legacy delivered an 18.7% return on equity over the last 12 months. At the end of the first quarter of 2023, Legacy's book value per basic share outstanding was $16.32, an increase of 20.3% from the same period in 2022. We continue to hold pricing and reduce our raw material inventory. Our top focus remains on sales, but we are also looking at ways to reduce SG&A and warranty costs. Legacy's balance sheet is healthy. We ended the quarter with $3.2 million in cash and $7.8 million drawn on our line of credit. We also own $8.5 million of treasuries yielding approximately 4.7%. As the economy slows, investors should start to see the beauty of our integrated business model. Sales were down during the first quarter, but margins and earnings improved. From a strategic standpoint, I recently discussed the opportunities we are seeing in our industry with our founders. They have been waiting years for this. Our foundation is stable and we are well-positioned for growth. Operator, this concludes our prepared remarks. Please begin the Q&A.
Operator: Thank you. [Operator Instructions]. Our first question comes from Alex Rygiel with B. Riley. Your line is open.
Duncan Bates: Hey, Alex.
Operator: Alex?
Alex Rygiel: Hey Duncan, how are you?
Duncan Bates: I'm good. How are you?
Alex Rygiel: Very good. A couple of quick questions here. First, yes, can you sort of touch upon kind of the macro environment here? Obviously, we got a significant rise of mortgage rates. We had slowing demand for new home construction now that's kind of leaked into your space as well. So maybe talk just a little bit about the macro dynamic here and it kind of feels like single-family home builders have kind of stabilized to kind of a lower level now, but going into sort of maybe normal seasonality. So do you feel like that's the case as well in the mobile industry?
Duncan Bates: Yes. I think that's right, Alex. We certainly have seen demand slow. That said, we've got three plants. We feel very comfortable keeping them full. I think the most important thing that you pointed out is there are some real tailwinds for this business. You've got mortgage rates, right, that have doubled. You've got underwriting standards for mortgages that have really tightened. You've got home prices near all-time highs. And at the end of the day, you've got over 50% in this -- of households in this country that make less than $75,000 a year. And those are our customers, and we tend to serve the lower end of this market. And I think that although there is slowing demand we should see an uptick as this affordability problem worsens in our country.
Alex Rygiel: That's helpful. And then can you talk a bit about your land development activities? The company's had a number of properties sort of on its books, been making some investments and some water treatment facilities and whatnot through the years. Can you talk about that in conjunction with your comment earlier about pretty confident that you can keep your plants full?
Duncan Bates: Yes, sure. The -- I personally believe that the largest headwind this industry faces is, where do you put these things? And we've got seven properties that we own outright that we have been developing into communities over the last few years. Our primary business is building, selling, and financing mobile homes. But at the same time, we have made significant progress. And I'll tell you that based on discussions with other developers in our industry; there is lot of value here. I think there are certain properties that make sense for us to push forward to through full development. There's probably others that could make sense to partner on where we're allowed to contribute homes in potentially financing and have some type of recurring cash flow stream. And look, there's others that we haven't made much progress on that are primarily entitled raw land that we're -- we've bought, right? And as you can imagine, land in Texas around major metropolitan areas has really increased in value. So there may be a couple of those that make sense to either sell or partner with somebody on the near -- in the near-term on.
Alex Rygiel: And then lastly, I think given the past, you've mentioned some geographic opportunities ahead. Can you maybe talk about that as it relates to sort of the business plan over the next kind of one to three years?
Duncan Bates: Yes. Sure. I think we're lining up for a pretty interesting and exciting time for our business. We've got a great balance sheet. We've got recurring earnings from the financing business. And this is a regional business. You typically don't ship these homes much outside of 200 to 300 miles from where your plants are. And COVID created some opportunities where I mean we shipped homes a lot farther and we continue to do that, but there are certainly regions that we don't hit as economically as we'd like to. And look, there are -- if you're a single plant manufacturer with no backlog and no balance sheet the -- I think there will really be some opportunities for us to move into some new geographic areas. But we're going to be conservative. We're not going out and participating in a bank process where we're really going to overpay for something. But we're definitely getting some looks on things, which is exciting for all of us.
Operator: One moment for our next question. Our next question comes from Mark Smith with Lake Street. Your line is open.
Mark Smith: Hi guys. First question I've got Duncan is really just on kind of average selling price. What kind of price movement did we see here in the quarter?
Duncan Bates: So Mark, our last price increase was in June of 2022. We have not raised prices since then, but we've also haven't dropped prices. So I say it's been in line with the past few quarters.
Mark Smith: Okay.
Duncan Bates: They're also -- just one more comment on that. I mean, the -- we primarily sell our park model homes are very, very basic homes. And typically single-wides without a lot of bells and whistles those have typically lower prices than some of the big more elaborate homes that we're selling to dealers, so there has been -- recently we've been building a lot of park model homes. And so I think when you see our -- when you see the filing, you'll see that there could be some mixed issues there, but overall pretty much in line.
Mark Smith: Okay. Then as we think about the pressure on the industry, any more detail you can give us, is it really rates that are pressuring consumers? Is it just kind of general consumer -- consumers being squeezed in today's environment? What is it that's really hurting them? And if so rates, can you guys use your lending arm as a lever with lower rates to incent more sales?
Duncan Bates: Yes. I'll take it in two pieces, Mark. About half of our business is selling through dealers to retail customers, and I think there's been a lot of talk in the industry about that channel being backed up, right? You've got these dealers, whether they're company-owned or they're independent dealers that, that have a decent amount of inventory sitting on their lots. And I think overall, what we're seeing and we're hearing is that foot traffic has picked up, but conversions are still below where they should be. And so I really think it's just there's a lot going on in the economy and the consumers are being squeezed. This is an affordable product though, and we haven't raised our rates on the financing side of things. And so I think there's just some hesitation to go out and make a large purchase right now by most consumers. But I think that could change as other housing options, whether it's rent increasing or home prices, we already discussed the issues there of traditional stick-built homes, so we're hoping to see more of a pickup on the dealer side of the business. And that conversion rate get higher. On the park side of the business, which we sell homes directly at wholesale prices to community owners and developers that, that's the other say half of our business. We typically serve a customer base that are -- I would categorize as regional entrepreneurs. These are guys that have been in the industry for a long time and have ridden the ups and downs and a lot of them took chips off the table when you had big institutional backed guys paying astronomical prices. And so a lot of those guys are our customers and a lot of them are deploying capital now, which is helped us out on orders. I think on the -- if you're a large institutional backed player, I mean, a lot of these guys went out and consolidated it at all-time high prices on the park side. And if you're using variable rate debt and you can't raise the rents as much as you need to their -- some of their expansion plans may have changed. So that's hopefully that helps.
Mark Smith: Okay. Last question for me, just any additional breakdown you can give us on the inventory, just what kind of you're sitting on in finished goods versus kind of raw material, and when you're comfort level with the inventory today?
Duncan Bates: Yes. I don't have the number directly in front of me. I'll tell you, raw material inventory is around $17 million. And the rest of the inventory is, at our company-owned dealerships and so or company-owned dealerships or sitting in the lots, I think we've got more inventory that we would like across the Board that's really an area that we've been focused on and we're making some progress on, especially on the raw material side. And -- but we've got a ways to go there. And then company-owned dealerships I think are in similar boat as a lot of the other dealers where the inventory is not turning as quick as you'd like, and you've got some excess there.
Operator: One moment for our next question. Our next question comes from Tim Moore from EF Hutton. Your line is open.
Duncan Bates: Hi Tim.
Leanne Hayden: Hi, everybody. It's Leanne Hayden. I'm sorry. This is Leanne Hayden filling in for Tim who's immersed in our annual conference right now, but regardless really appreciate your time.
Duncan Bates: Hey, Tim, you there?
Operator: It's a female one for Tim. She is very low. Can you speak up, ma'am a little bit?
Duncan Bates: Sorry.
Leanne Hayden: Can you guys hear me?
Duncan Bates: Yes, yes, yes, that's much better.
Leanne Hayden: Okay. Sorry about that. This is Leanne Hayden from EF Hutton. I'm filling in for Tim Moore. He is immersed in our annual conference right now, but regardless, thanks for the time. My first question is just a follow-up on pricing. Your pricing is still below your competitors, despite their cuts. Do you plan to offer more promotions and online specials in order to preserve your ASPs? Or what do you plan for that?
Duncan Bates: Yes. We have been able to hold our pricing. We certainly have seen our competitors start to cut pricing. I think pricing is important to discuss in the context of our integrated model. And what we've been able to do recently is offer financing specials. And so we've held pricing but we're offering a few months with no payments or other incentives to sell homes and finance them at what we believe are good returns for our business without sacrificing the price increases that we've pushed through over the past couple of years. And so that'll continue to be our strategy. I mean, we hit on the call like sales were down this quarter. But at the same time, we have been able to secure a decent amount of large orders. So I mean, we're going to keep holding price as long as we can and if we need to use our financing tools to do that, we will.
Leanne Hayden: Okay. Yes, that makes sense. My second question is regarding your more nimble manufacturing footprint with only three plants, if there's a sudden downturn in order volumes, what can you do to keep utilization up at your plants and can you just reduce shift hours or retaining talented workers? How would something like that play out?
Duncan Bates: Yes. I mean I think the typical ways are you can slow down production, whether it's not working as many hours in a week or cutting production days. We haven't missed a day of production yet this year. So -- and I feel pretty good about where the backlog is moving forward. And so there are some tools, but hopefully, we're not planning to use them at this time and cut production days. We're just -- we're trying to really make a push on the sales front and continue to grow the backlog. And I'm -- I think we'll start to see demand picking up.
Leanne Hayden: Okay. All right. That's great. How would -- how should we think about gross margin? It could be down this year versus last year when factoring in less of a price and boost, but raw materials cost deflation lapping that compared to a year ago from the Georgia plant inefficiencies in the second half of this year. Would that be something that would help?
Duncan Bates: Yes. We're really -- I finally feel like we've got some momentum in Georgia. It's been a long road to get here and the team has really stepped up and done a good job. We're still a little bit below where we'd like to be. I think though if we could get back to -- if we could push through one additional house a day by the end of the quarter, I think that's a realistic goal, but also one that really helps us out from a cost efficiency standpoint. Again, we're -- holding prices and material prices are coming down. So I think as long as those two things continue to move in the same direction and we're able to keep production up margins still should continue to be strong.
Leanne Hayden: Okay. That's great. Thank you so much. My last question is about the conversion of some dealers to a floor financing program that seemed to boost your December 2022 quarter revenues by maybe $17 million. Does that mean that this year's December quarter would face a headwind decline for product sales as you last the year ago benefit? Or what do you expect for that?
Duncan Bates: Sure. So I'll give everyone just a quick reminder on the consignment to floor plan financing conversion. We have had a consignment program in place for years that I wouldn't say, is necessarily market. And so we've moved over to a market floor plan financing program. And as we converted these dealers over, we essentially recognized the conversion as sales since there's no take back on the inventory. And so we -- this was a project that started well over a year ago and we were trying to push everybody to the new program, and we still have some dealers that have not converted over. But we had a big conversion during the first quarter of last year. And so I would not expect we just -- we don't have the same volume that we had last -- the fourth quarter of last year. But we will have conversions that happened this year. It's just a -- it's a smaller number and not something that we made a push on during the first quarter.
Leanne Hayden: Okay. That's all from me. Thank you so much for those answers.
Duncan Bates: Yes. Thanks so much. Good luck with the conference.
Leanne Hayden: Thank you.
Operator: One moment for our next question. Our next question comes from [indiscernible] who is a Private Investor. Your line is open.
Unidentified Analyst: Hey, thanks for taking the questions. I'll bounce around a little bit. You talked about rising rate environment, but then also some opportunities you're seeing and some specials on the financing generally speaking on a forward basis, relative to the first quarter, should we expect the interest income dollars to be kind of consistent or should those be moving directionally higher?
Duncan Bates: Yes. They'll be moving directionally higher. The financing in this industry has or we've seen a pullback in financing in this industry, which I think creates a nice opportunity for us to deploy capital into the loan portfolios. We're not borrowing to lend and take a spread. So we've got some flexibility as far as where we've set our rates and how long those rates are fixed for. The promotions that we've been running include say a couple say three months to six months without payments. And so while the interest revenue won't pick up immediately as we make new loans, toward the end of the year, you should start to see the benefits of all that cash that, that we've deployed into the loan portfolios.
Unidentified Analyst: Okay. Thank you. That's helpful. And then you did some brief comments on the land portfolio and on the development side, but just a little bit more color there. Is there anything in process, in the sense, like you're talking about transacting some of the land, is that just hypothetical or you have had negotiations about actually doing something?
Duncan Bates: Yes. Look, we continue to work on all of these developments in the background. And I think if you look up over the past, year with the history in our business, right? We had some major challenges that we had to work through that took up a significant amount of management's time. And so we're back getting refocused on really pushing these developments forward. And I think if there are, like, there's certainly people that are building parks in Texas and they're looking for land that's entitled. And we have created significant value by pushing these forward that hasn't been realized yet. And so our plan -- we don't have like a for sale sign on any of this stuff, but I mean we have been approached and I think we're always open to opportunities and hearing offers and -- but ultimately haven't made a decision to do anything yet. So it's kind of we're back refocused on pushing the developments forward and creating value there, but if someone is interested in a certain piece, we'll certainly listen to them.
Unidentified Analyst: Okay. And I apologize if this was asked and answered, but on the backlog size, did we give any color or commentary there either on units or dollar amounts or directionally where that's been moving?
Duncan Bates: Yes. I -- we don't publish a backlog number. One area of our balance sheet that you can look to is we've got a liability for customer deposits. You'll see that's down a little less than $2 million over a quarter over or since last quarter. That said, we -- it's difficult to transition your sales team after going through two years of order taking to really selling. And that's something that I will tell you has been really the top focus for our management team. And it's amazing when you get people, you get a little bit momentum and you have the management team involved and we've got longtime customer relationships. We've really been able to secure some nice orders and we -- we're planning to continue that. So we've got several months of homes to build.
Unidentified Analyst: And then just building on the -- those customer relationships I've asked about this in the past. Is there still ongoing discussions regarding any long-term supply agreements and/or do we already have some in place?
Duncan Bates: No, none right now. We've talked with some larger players about it. I mean, but we'll -- if we get a large order, say you get somebody wants 200 homes, we'll sell them under our standard agreement and just space them out with the amount of production that they can handle or deliveries they can handle on a monthly basis. And so we do have customers that are taking significant volume from really all three of the factories, but they're not under any type of long-term supply agreement right now.
Unidentified Analyst: Okay. Great. And then this is kind of a shorter question, but maybe more of a longer answer, but can you help just shareholders, you came public few years back, we've had some issues on the accounting side. We've remedied those, but during that period of time, you weren't able to really discuss what was happening with shareholders while the financial results were quite good. But you talked about the ups and downs of the industry. Can you just give us an update in terms of what's the long-term strategy for this business? You got three plants and you have some founders, they've been at this for a long time. They own a fair amount of stock. What's the long-term outlook for the business? And is there any desire to sell the entire company, which would probably entail a pretty nice return for everybody?
Duncan Bates: Yes. No, no plans to for any type of larger transaction at this time. We have worked through some issues on the SEC reporting side. I think some of that was caused by issues with our team internally. But we also had a large issue with a new or prior auditor. But we work through that and we've now have a team in place that can deliver accurate numbers in a timely manner. And so that's no longer the concern that it was. I think at this point, our founders would love to see this business continue to grow for years. And I'm very fortunate to have them as coaches and mentors in this business because they've both been in it for over 40 years. And probably have combined more experience in this industry than anyone in any two people in the country. And so our goal is to continue growing the business. We're always bottom line focused and we're focused on continuing to invest our profits at high rates of return to grow Legacy's book value. And if you look at what we've done over the last 12 months, we're making almost 20% year-over-year on that money, which is pretty remarkable. And this business was started with less than $10 million, and they've grown that at 10% to 20% a year for 18 years. And then you look down and you're a $550 million market cap company. And so we're going to continue to operate this in a conservative manner investor cash. But we're now -- we've got the foundation set where we're not afraid to be opportunistic as things arise. And we believe that we are at a time and we're seeing it where opportunities are popping up and we've got the team to actually execute. So long way of saying we're going to keep growing the business and plan to stay a public company.
Unidentified Analyst: Okay. That's great. Maybe just a little bit more clarity there, when you talk about opportunities, is it organic? Is there facilities that are actively producing units or maybe a building we're looking at that, that is unfinished, that we would put some production assets in there that, how do you frame opportunity? Because -- and I'm trying to be very respectful. I think you guys have done a fantastic job historically, but it's hard to know exactly what's going on when we're only getting quarterly updates. And you had this strategy for a period of time on the land development side that has taken some time on the permitting side. And maybe we're looking for some partners, so that that's changed to some extent. But just any color you could provide shareholders in terms of what that opportunity set is in terms of capital deployment. Thank you.
Duncan Bates: Yes, sure. I'd say first of all, now that we are through some of these issues that take -- have taken up a lot of management time to get back on track. We do plan to have more of an IR presence and update the market on our strategy. But there are -- when I talk about opportunities, I think we first have to start with the opportunities in our own business. I mean, our margins are great, but there are a lot of areas where we can improve those. We can do a better job on the sales side. We can do a better job on managing our inventory. We can do a better job on managing our costs and SG&A and those are all things that we're aggressively focused on now. I think, once we have all of those set and there are -- there's other products that we'd like to manufacture, there's other markets that we'd like to manufacture in. There's opportunities to realize value from these developments and especially right now, there's opportunities to deploy capital on the financing side. And so we're looking at all of these through a lens that focuses strictly on returns. And there may be times when we feel like there's better returns generated by deploying all of our cash into land development. We think that there's times when the best return we can get is by deploying it on in the financing businesses. And I think that there will be times when we feel like, hey, there are single plant operating businesses in this country and attractive geographies where we can make a return that may compare to what we currently do on the manufacturing side and then that also gives us additional units to finance.
Unidentified Analyst: Okay. Great. That's a very helpful answer. And I look forward to the company being more active with investors because I think there's a very good story to tell. So thanks for taking all my questions. I appreciate it.
Duncan Bates: Yes, absolutely. Thanks for the questions.
Operator: One moment for our next question. Our next question comes from Roman [indiscernible] also a Private Investor. Your line is open.
Unidentified Analyst: Thank you. Duncan, great presentation. Quick question on the land development side, is the idea if you do proceed with the plan for these various sites that you have -- that you guys own. Is the idea then to build a business around it, raise capital to from JV partners? Like what's -- how does this fit into the company's longer-term strategy on like is this going to be long-term holds? Are you going to be spinning them off? Like what -- how do you think about that as you kind of near completion on some of the entitlement stuff on these -- on this parcel?
Duncan Bates: Yes, sure. So like I said, we continue to push forward with them. I can't tell you I had the answer for that yet. I think that the plan is to monetize them as we see fit. I think ultimately what makes our business special is the stable recurring revenue side of it. And so as I look forward to growing the business, I don't think anyone wants to own a cyclical manufacturing company. They want to own something that generates predictable returns and has high margins. And so as I think and we'll use that lens to look at the entire business. So we think about land development and I think it's how do we either develop or partner on these and create a business model that we can replicate and grow and generate recurring income from them.
Unidentified Analyst: Yes. I think that's the exactly the right way to look at it. I think I would encourage you to think through it from effectively like a JV fund management route, right? Where you bring capital in and like you said, collect -- either collect fees or JV with somebody to do this. So it's not -- so the capital outlay is not all on the company side. Just a suggestion. But great presentation. Super excited about the business.
Duncan Bates: Yes. Thanks for the questions.
Operator: And I'm not showing any further questions at this time. I'd like to turn the call back over to Duncan for any closing remarks.
Duncan Bates: Perfect. Thank you. Two final comments. One, thank you to our customers. I mentioned during the call and the press release certain longtime customers have placed large orders. The orders keep our facilities full and keep our workers paid and we truly appreciate your business. And secondly, I'd like to thank everyone who joined today's earnings call. We appreciate your interest in Legacy Housing. Feel free to reach out to us with any follow-up questions. My contact information is at the bottom of the press release. Operator, this concludes our call.
Operator: Well, ladies and gentlemen, this does conclude today's presentation. You may now disconnect and have a wonderful day.